Whit Rappole: Good afternoon, ladies and gentlemen and welcome to Avid Technology's Third Quarter 2022 Earnings Conference Call for the period ended September 30, 2022. My name is Whit Rappole, Avid's Vice President, Corporate Development and Investor Relations. Please note that this call is being recorded today November 8, 2022 at 5:30 P.M. Eastern Time. With me this afternoon are Jeff Rosica, our Chief Executive Officer and President; and Ken Gayron, our Chief Financial Officer and EVP. In their prepared remarks, Jeff will provide an overview of our business and then Ken will provide a detailed review of our financial and operating results followed by time for questions. We issued our earnings release earlier this afternoon and we have prepared a slide presentation that we will refer to on this call. The press release and presentation are currently available on the Events and Presentations page of our Investor Relations website at ir.avid.com and shortly following the conclusion of the call, a replay will be available on our IR website for a limited time. During today's call, management will reference certain non-GAAP financial metrics and operational metrics. In accordance with Regulation G, both the appendix to our earnings release today and our investor website contain a reconciliation of the most closely associated GAAP financial information to the non-GAAP measures and also definitions for the operational metrics used on this call and in the presentation. Unless otherwise noted all figures, discussed by management during the call are non-GAAP figures except for revenue, which is always GAAP. In addition, certain statements made during today's presentation contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Our comments and answers to your questions on this call as well as the accompanying slide deck may include statements that are forward-looking and that pertain to future results or outcomes. These forward-looking statements are based on our current beliefs and information available as of today. Actual future results or occurrences may differ materially from these forward-looking statements. For more information including a discussion of some of the key risks and uncertainties associated with these forward-looking statements, please see our press release issued today and our most recent Annual Report on Form 10-K and Quarterly Reports on Form 10-Q filed with the SEC. With that, let me turn the call over to our CEO and President, Jeff Rosica for his remarks.
Jeff Rosica: Thanks, Whit and my thanks to everyone joining us today to review Avid's third quarter results. Overall, were pleased with the results that we delivered in the third quarter, including strong earnings despite revenue headwinds being caused by the overall global macro conditions that are challenging so many companies today. It's also clear that our strategy is working and delivering results despite the more challenging environment we're operating in globally today.  Let me dive right into the details. Let's start with the three main takeaways for Avid's performance during the third quarter. First, we're very pleased at the strong growth of our software subscription revenue in the quarter driven by very robust enterprise subscription results, and the reacceleration of our creative tools, including terrific performance from Pro Tools, all resulting in record subscription that adds this quarter.  Next, even though demand remained quite healthy for the integrated solutions portion of our business, we did realize slightly lower results than we had expected. While we successfully resumed production of certain audio hardware products late in the quarter, our recovery from the constraints caused by the current global supply chain situation is happening slower than we had anticipated.  And finally, because of our continued prudent business management and proactive cost controls, we delivered improved profitability despite the headwinds associated with the macro conditions that so many global companies are facing, including worsening foreign exchange rates, difficult supply chain conditions, and cost inflation pressures.  Through all of this on a year-over-year basis, we delivered strong earnings per share growth, and on a constant currency basis, we delivered a solid overall revenue growth for the quarter.  Now, let me dig in a bit more and provide some specifics on each of these key points. With robust adoption of subscriptions by both new and existing customers, both for our creative tools and enterprise offerings, we delivered strong growth in our overall subscription business this quarter. We've realized net additions of 32,600 subscriptions, which is an all time record. And we delivered over 24% year-over-year growth in the number of overall cloud enabled software subscriptions.  Our creative tools remain an essential part of our subscription growth. And during the third quarter, we had our largest number of creative net additions since the beginning of 2021, largely driven by strong performance of Pro Tools and Media Composer subscriptions. We've realized a quite strong sequential increase in Pro Tool subscriptions in Q3, built on the momentum from our q2 launch of the new Pro Tools Artists and Studio Tiers. We continue to innovate and further grow the Pro Tools business to attract more of the next generation of music creators and audio professionals.  In September, we delivered our latest release of Pro Tools with several new capabilities to enhance our users' music creativity, and expand our existing audio ecosystem. We continue the trend of successfully converting a substantial number of enterprise customers to our subscription offerings in Q3, helping to deliver stronger than expected subscription revenue growth in the quarter, especially when comparing on a constant currency basis.  In Q3, Avid secured enterprise subscription agreements with a number of media companies around the world, including large Media and Broadcast companies, YLE of Finland and ZDF of Germany. Admittedly, the enterprise subscription performance in Q3 was helped by favorable timing of a couple of key customer contracts that close earlier than what we had expected. And as such Q4 will not track sequentially to our typical seasonality pattern.  That said, for the second half in total on a constant currency basis, we expect that the subscription revenue to be on track to our previous guidance range, and which is also tracking nicely to our long term model.  We also continue to expand our portfolio of high value enterprise subscription offerings, which is additionally contributing to our subscription revenue growth. And in the quarter, we saw continued uptick in our new NEXIS subscription storage offering and with Media Composer Enterprise. Together, these factors resulted in a reported 49.2% year-over-year subscription revenue growth in the quarter. And on a constant currency basis, subscription revenue grew 56.2% year-over-year.  During the third quarter, healthy demand for our customers and strong commercial activity continued across our business, resulting in 6% year-over-year revenue growth in constant currency. As a sizable portion of our Avid's business is traded in Europe, the UK and Japan. The increasing foreign exchange headwinds, as I mentioned earlier, had an impact on total revenue results as reported.  While in the past, we have seldom talked about the impact of foreign currency exchange on Avid's results. As the Euro pound and yen currencies have gotten progressively much weaker as this year has progressed, we're compelled to highlight the impact because we do not want the current FX headwinds to obscure the underlying growth and profitability we are seeing in the business.  Customer demand for integrated solutions continued to exceed our ability to supply in the quarter, resulting in a further increased backlog. The global supply chain constraints that are impacting our business, which we do believe are temporary in nature, continue to affect production levels for integrated solutions, and thus revenue for this part of our business.  While we made good progress in resolving some of these challenges, including resuming production of our S6 and S4 control services, as well as our live sound consoles in late Q3, the recovery is moving slower than we had expected, and the lingering challenges we're facing are continuing to impact deliveries for certain parts of our integrated solutions portfolio. As a result of these constraints, unfilled, contractually committed orders for integrated solutions grew to more than $25 million above our typical levels of unfilled orders as we enter the quarter.  Again, we are making progress and working to resolve these temporary issues. And based on what we're seeing today from suppliers combined with the magnificent work of our teams, we have visibility into further improvements expected during Q4. Though at this point, we anticipate that the recovery will likely extend into the first half of 2023. And we anticipate that we will be exiting 2022 with a heightened level of unfilled backlog of customer orders for certain parts of the integrated solutions portfolio.  With all of this said and to be quite clear, none of these near term headwinds change our view of the long term opportunity for this business or the success of our strategic growth plan.  Our third takeaway is that despite the temporary headwinds produced by the macro conditions mentioned previously, we continued to improve profitability and our overall business performance remain strong. We saw continued improvement in gross margin driven by growth of our higher margin software subscription offerings.  The growth in total subscription revenue continued to drive double digit subscription and maintenance revenue growth and resulted in on a constant currency basis, over 13% year-over-year growth in ARR and approximately 37% year-over-year growth in subscription arr. We've produced improve year-over-year profitability with our continued focus on proactive cost management, while also continue to be making prudent investments in technology innovation, and digital transformation to fuel our strategic growth plan.  The revenue growth combined with year-over-year improvement in gross margin and sequentially stable operating expenses enabled us to deliver an adjusted EBITDA margin over 20% for the quarter, and we delivered non-GAAP EPS growth of 40% year-over-year.  Let me now share with you where we see things going forward from a business perspective. While, we face challenging macro conditions and global economic uncertainty ahead of us, as do almost all businesses across the globe. I'm confident that we'll navigate the conditions appropriately. And we believe that we're very well positioned with strong customer relationships, a solid growth strategy, and continued innovation plans to help capture future market opportunities, which together gives us confidence in the trajectory of the business and a positive long term outlook.  Supply availability and production capacity are improving, but not expected to fully normalized before the end of this year. While the availability of many standard components is improving, we're still facing constraints on some of our more specialized components. I am pleased with the team's accomplishments in the area of product redesign to support alternative components and to quickly and efficiently produce and ship products. As components and new designs become available.  We will continue to deliver a stream of valuable software releases, develop innovative solutions, and forge partnerships that will contribute toward our strategic growth plan. I'm encouraged by the additional new offerings and innovative enhancements in our development pipeline to meet the market and customer demands that we see and to help drive our growth.  In October, we introduced Pro Tools Intro, a new free version of Pro Tools to help introduce more next generation user creators to our products and provide a new offering for third party vendors to offer in the box to their customers, giving us a nice on ramp for new users to try Pro Tools for free before converting to a paid subscription. Just a couple of weeks ago, we also announced the official release and availability of the innovative NEXIS Edge software subscription solution that uniquely enables more powerful and flexible remote editorial and distributed post-production workflows. In New York City last month at the AES show, we introduced two brand new audio products for the next generation of music creators, the Unbox Studio desktop interface, and the Pro Tools Carbon Pre-expansion, and have been receiving strong reviews from the community on these new solutions.  As always, we will continue our efforts to improve efficiency and maintain the cost discipline that we have been so focused on for the past few years. While we will also continue to make strategic investments in new innovations, as well as our digital transformation in support of our long term strategic growth plan.  For the fourth quarter and full year, we believe we're well positioned to deliver earnings growth despite revenue headwinds from the impacts of foreign currency exchange and the temporary supply chain constraints. And we are confident in our ability to continue to deliver strong profitability and cash flow generation despite these factors. While we are needing to adjust our full year '22 guidance to reflect these macro conditions we're now facing our adjusted EBITDA and non-GAAP EPS guidance range is narrowed, but within our previous guidance provided in August.  With that, let me now turn the call over to Ken to review more of the financial details. Take it away, Ken.
Ken Gayron : Thank you, Jeff. And good afternoon everyone. In the third quarter despite FX headwinds, Avid delivered over 40% earnings growth that was at the high end of our guidance range. Our financial performance was driven by robust performance in our subscription business, including an all-time record net increase in paid subscriptions during the quarter, and prudent management of our cost base.  As we enter the fourth quarter, our focus will be to further expand our higher margin subscription revenue, improve our profitability and cash flow and remain on track with our long term metrics.  With that, let us now turn to the details of our third quarter financial results. We are encouraged by the continued growth of our paid subscription base. We ended the quarter with our largest ever sequential increase of cloud enabled software subscriptions. Our total subscription count reached approximately 483,000 at the end of the third quarter, an increase of 24% year-over-year. Growth in enterprise subscriptions continue to be healthy and solid. And we saw reacceleration of our creative tools.  We added approximately 20,000 new creative subscription users our best quarter for net adds since Q1 2021 reflecting growth of 4.7% sequentially, and 17.7% year-over-year. We had terrific performance in Pro Tools which saw strong acquisitions enabled by the exceptional performance of our Pro Tools Artists here. We launched Pro Tools Artists in late April 2022 and this was the first full quarter with A new tier which had robust acquisitions in the quarter. We also had a strong quarter with Media Composer subscriptions that had an acceleration and net adds.  Moving to our enterprise business, MediaCentral subscriptions grew to approximately 35,600, an increase of about 12,500 during the third quarter, representing year-over-year growth of 290%. The increase in enterprise subscriptions furthers our confidence in the transition of our existing customer base to subscription. As our enterprise subscription business continues to become a more meaningful part of our subscription mix, is positively impacting our overall price per seat, as the price of an enterprise seat is a multiple of the price per seat for our creative tools.  Now moving to the composition of our revenues, the consistent growth and the number of paid subscriptions drove continued growth and subscription revenue during the third quarter, which reached $41.8 million, an increase of 49% year-over-year, and 56% on a constant currency basis. Total subscription and maintenance revenue increased year-over-year by 18% in the third quarter, and 22% on a constant currency basis. Subscription and maintenance saw 16% growth for the first nine months of the year, and 19% at a constant currency basis, which is slightly above our long term plan.  Maintenance continues to be a solid part of the business. During the third quarter maintenance revenue was $27.3 million down 11% year-over-year. As we continue to successfully convert our enterprise customers to subscription offerings at healthy afflicts in excess of 140%. We are seeing a reduction in the related software maintenance revenues from those customers. However, hardware maintenance was up 8% year-over-year, due to continued improvement in renewal rates in higher pricing. Total combined integrated solutions perpetual and professional services revenue was $33.9 million in the third quarter, driven by lower integrated solutions and the continued transition away from perpetual software licenses.  Integrated solutions revenue was $26.3 million in the third quarter, a decrease of 16% year-over-year. Despite healthy demand for Aavid Solutions, several integrated solutions products were impacted by the global supply chain issues, limiting our production capacity and our ability to meet customer demand at the end of the quarter.  We ended the third quarter with over $25 million of unfilled contractually committed orders for integrated solutions. The unfilled orders, which grew $5 million over the prior quarter are primarily related to the availability of certain chips and power supplies for Pro Tools hardware, audio control surfaces, and live sound consoles.  We are working to resolve the issues through finding alternative sources of supply, selective redesigns and other means. As Jeff mentioned, we made progress in resolving some of these challenges in the quarter, but overall, our capacity remains below the demand we experienced in the first nine months of 2022. We expect to deliver more integrated solutions revenue in the fourth quarter.  However, we don't expect to fully catch up on the production and shipments before the end of the year. And as a result, we expect to have an elevated level of contractually committed orders at the end of the year.  We have factored these risks related to the macro supply chain headwinds as we understand them today into our full year 2022 guidance. Perpetual license revenue was $1.8 million, a decrease of 69% year-over-year, as we continue to de-emphasize perpetual licenses and focus on strategic subscription revenue. Even with the declining Perpetual Revenue, total software revenue from subscription and perpetual licenses increased year-over-year by 29% in the quarter, as subscription revenue growth significantly exceeded the perpetual revenue decline.  Now moving to annual recurring revenue LTM recurring revenue and annual contract value from long term agreements. Annual recurring revenue based on the annualization of subscription and maintenance bookings was $237.2 million in the third quarter, an increase of $21.5 million or 10% year-over-year, and 13% year-over-year at constant currency.  Growth in ARR was due to subscription ARR growth of 33.2% as we came to drive a favorable conversion of maintenance revenue to subscription revenue, plus adding new customers to our subscription base. At constant currency subscription ARR increased 36.9% year-over-year. Subscription revenue growth year-over-year outpaced subscription ARR growth due to primarily two strong third quarter 2022 enterprise subscription in revenue, which has different revenue recognition characters is under ASC 606.  Also, the lower integrated solutions chips in the first nine months negatively impacted the maintenance ARR at September 30, as the unshipped orders would have contributed approximately $1 million to maintenance ARR negatively impacting ARR growth by 1%.  Our focus on growing recurring revenue continues to drive healthy gross margin. As of the third quarter LTM recurring revenue was 83% of total revenue up from 77% a year ago, and in line with our long term model.  Now let's look at our operating results for the third quarter. Total Revenue the third quarter was $103 million, up 1% year-over-year, and up 6% at constant currency. As a reminder, 51% of our revenue is in the Americas. 36% is in Europe, the Middle East and Africa, and 13% is in APAC. And we collect approximately 20% -- 22% of our revenue in euros 7% In British pounds, and 4% in Japanese yen.  Due to the continued weakness of all three of these currencies versus the U.S. dollar, there was a more meaningful impact to the difference between our reported revenue growth and our growth under constant currency.  We saw continued robust market demand, but total revenue was constrained in the quarter from weakness and foreign exchange rates and an increase in unfilled contraction committed orders for integrated solutions. The unfilled contraction committed orders for integrated solutions was over $25 million more than normal in the third quarter. If the currency headwinds had not occurred, and if we had shipped all these integrations solutions orders in the quarter, total revenue would have been in excess of $130 million in the quarter.  Non GAAP gross margins was 68.3% for the third quarter, up 300 basis points year-over-year. Our high margin subscription business made up a large share of revenue, resulting in the improved gross margin. We expect improving gross margin in our long term model as we can drive through robust growth in our subscription business.  Non GAAP operating expenses were $51.5 million in the third quarter, a $200,000 increase year-over-year, due mainly to investments in support of our product innovation to drive our long term model. The impact of FX did favorably impact operating expenses by $1.8 million in the quarter as our global cost base does provide a partial head by chance inflation. Adjusted EBITDA was $21 million in the third quarter up 23.5% or $4 million year-over-year, driven by the improvement in both revenue and non-GAAP gross margin. Adjusted EBITDA margin was 20.4% in the third quarter, an increase of 360 basis points compared to the prior period. When adjusting for the FX impact to both revenue and cost, adjusted EBITDA was negatively impacted by $2 million in the quarter and $3 million for the first nine months of the year. Finally, non-GAAP earnings per share was $0.38 for the third quarter, up $0.11 year-over-year.  Now let's look at the rest of results for the third quarter. Our strategy of investing in innovation to drive higher quality recurring revenue together with effective cost controls has resulted in a sustained trend of margin expansion and profitable growth. Free cash flow for the quarter was $6.6 million down $7.4 million year-over-year due to lower product deliveries in our audio hardware business and an increase in inventory that will provide a buffer stock of supply of components to meet the healthy demand we're seeing in the business.  During the third quarter repurchased 758,000 shares for $18.6 million. Additionally, during the fourth quarter, we also repurchase 254,000 shares for $6.4 million, bringing total repurchases to $2.8 million shares, or $75.1 million under the $115 million authorization announced in September 2021. We will continue to deploy capital prudently in the most responsible way to drive long term shareholder value. We ended the quarter with a strong financial position with net debt to EBITDA of 1.9 times.  Also in October, we amended our credit facility, increasing the revolving credit facility from $70 million to $120 million and adding $20 million incremental term loan on favorable terms and no change to pricing. This provides Avid more financial flexibility with over $150 million in liquidity to execute our growth plans in our capital deployment strategy as we work to enhance returns for avid shareholders.  Let's now turn to guidance. As Jeff said, we are confident in the underlying strength in our business including the healthy demand for our solutions that we are seeing. We expect continued strong growth in our subscription revenue from continued solid performance in our creative tools, and enterprise subscription business. We expect increased contribution from recent new subscription product offerings, including Pro Tools Artists, and our NEXIS Storage subscription offerings.  However, the strengthening U.S. dollar continues to create a headwind of year-over-year comparison against our plan for the full year, we expect headwinds from effects on our total revenues this year will be $12.8 million for the full year, with $6.9 million in the fourth quarter. In addition, the ability to procure certain specialized components to meet the current healthy demand and backlog of unshipped orders is taking longer than we had expected.  As a result, we expect to have an elevated level of unshipped orders of audio hardware in our backlog as we complete our fiscal year. As a result, Avid is adjusting its full year 2022 revenue guidance. Our guidance for 2022 total revenue is now $412 million to $424 million. As we look at bridging our prior guidance that we had, with a midpoint of $440 million in total revenue for 2022, the change is an incremental $9 million in foreign exchange headwinds, which we cannot recover from, with the remainder of the gap from lower product sales in our audio hardware business related to the macro supply chain issues.  At this time, solely as a result of foreign exchange headwinds, Avid is modifying its full year 2022 guidance for subscription and maintenance revenue. We expect the headwinds from foreign exchange on subscription and maintenance revenue this year will be $6 million for the full year, with $3 million of the headwind expected in the fourth quarter. Our guidance for 2022 subscription and maintenance revenue is now $260 million to $268 million, a range which represents year-over-year growth of 14% at the midpoint, and 17%, excluding the FX impact at the midpoint.  For the full year, Avid is tightening its guidance for non-GAAP EPS and adjusted EBITDA. Our guidance for 2022 adjusted EBITDA is now $83 million to $87 million, reflecting a tighter range aligned with our smaller band on revenue. The decrease from our prior guidance at the midpoint of $4 million is solely as a result of foreign exchange headwinds are impacting our 2022 adjusted EBITDA by approximately $6 million. Excluding the FX headwind of $6 million, Avid would have exceeded the midpoint of its 2022 EBITDA guidance by $2 million.  Our guidance for 2022 non-GAAP earnings per share is $1.40 to $1.50, assuming 44.8 million shares outstanding. This reflects a midpoint of $1.45, which is unchanged from the initial guidance given in March 2022, reflecting prudent management of business in spite of the headwinds and foreign exchange and global supply chain conditions that are temporarily impacting our hardware business.  We are adjusting our guidance for 2022 free cash flow to $38 million to $43 million due to foreign exchange headwinds impacting adjusted EBITDA by approximately $4 million $3 million of higher interest expense due to a higher base rate and other working capital items, including an expected higher amount of inventory.  With that, I would like to turn the call back to Whit. 
A - Whit Rappole : Thank you, Jeff and Ken. That concludes our prepared remarks. And we're now happy to take questions. Our first question is from Jack Vander Aarde from Maxim, to be followed by Nehal Chokshi. Jack, please go ahead.
Jack Vander Aarde: Okay, great. Can you hear me? 
Whit Rappole : Yeah Jack. 
Jack Vander Aarde: Okay. Fantastic. Okay, great, guys. Great to see the strong subscription business momentum continue. Thanks for taking my questions. Jeff, maybe Jeff, or can I can start with just in general, I think I missed it. But I believe you mentioned you won a number of new enterprise subscription agreements during the third quarter. How many of those agreements did you win, if you could provide that or disclose that? And then were these were these conversions of existing avid enterprise customers or new avid customers entirely?
Jeff Rosica: Good question, Jack. No, we didn't disclose the number and I think we're not disclosing the number this quarter. But it is a significant number, including a couple of very large ones that we closed in the quarter. It's as I'd say, to usual pattern we've seen it's a majority of it is customer conversion. So there's a couple of new customers and or key expansions of a customer in that mix. And it's about the traditional mix that we've seen ongoing.  But as I said before, we did have a bit of we're helped in Q3 a little bit because some of the deals we expect in Q4, or do close early in the sales team was able to get them done? So we obviously said get get them down off the street. But overall, what we're seeing for the second half is right in line to what we expected.
Jack Vander Aarde: Okay, great. And you kind of touched on a follow up I had, which is in terms of just looking at the total enterprise subscriber seats ticked up quite a bit 12,500 or so were last year in the third quarter. And actually, the net adds been enterprise discoveries were actually dipped from the second quarter. So that's good to see this time around, it's picked up exponentially, or a multiple of it. How many of us how much of this is related to existing enterprise subscribers, expanding the number of seats throughout the enterprise you know, winning the new enterprise subscriber agreements.
Jeff Rosica: But each agreements is, is a bit of both Jack there is obviously a conversion to subscription of the seats. There's also an expansion usually goes along with with these contracts when we when we cut these deals, or these enterprise license agreements, or enterprise subscription agreements with these customers. So a little bit of both in the third quarter, as I said, we did have some great success with with a number of deals, including some a couple of very large ones. And so it's good, obviously, to see the continued momentum. But we did close quite a bit in Q3. I will say this, as we've said, they can, I've said this before, the enterprise part of our business, can buy traditionally be lumpy right, depending how many orders you get, and how many of the deals you closed in a given quarter. It can move around. But so we have attempted to look over a few quarters to really make sure we understand the growth trajectory of the enterprise business. And what we're seeing is right in line, as I said before, fully in line with our guidance, obviously, considering the impacts of FX.
Ken Gayron : And Jack, I would say, besides having healthy demand from enterprise customers for our subscription offerings, we're moving those customers to subscription, we're seeing very healthy uplifts, consistent with what we said at our investor day, if not slightly positive to that. And obviously, we're adding new customers. So that model is continues to progress night nicely. And we're in line with delivering high-teens subscription and maintenance growth as we move forward.
Jack Vander Aarde: Okay, fantastic. And then maybe just one more question, I'll hop back in the queue. Just question on your overall pricing strategy and pricing activity across the entire portfolio. So when thinking about the impact on it, also including the FX impact that you're experiencing? Have you or are you planning to make any major material pricing changes to any of your product offerings, whether it's subscriptions for individuals or enterprises for your integrated solutions products?
Ken Gayron : Yeah, no, it's a great question. I would say that we've been monitoring obviously, you know, the customer demand as well as I would say input costs for certain materials. And Avid has a very good position with our customer base.  That said we've been able to take pricing actions in certain areas of our integrated solutions, as well as our maintenance, to drive incremental revenue growth and profitability. And we've been selected looking at certain software offerings as well both subscription and perpetual, to drive further growth and profitability.  So it's an active piece of the business that Jeff and I and our business unit leaders obviously work on every day
Whit Rappole : Thanks Jack. So I think they Nehal's having technical issues. So we're going to skip to Samad Samana from Jefferies. Please go ahead, Samad. 
Jeremy Sandler: Hey, guys, can you hear me all right? '
Jeff Rosica: Sure we can.
Jeremy Sandler: Great, thank you so much. This is Jeremy Sandler on for Samad Samana. So I guess just to start off, on the integrated solutions backlog, can you maybe size, how much of a hit you're seeing to subscription as a result of a hardware shortages, like our customers holding off on signing contracts? Or what are you seeing there?
Ken Gayron : It's a very good question. Thank you. So, the integrated solutions backlog does when we deliver those solutions, it does pull in subscription and software revenue as part of it. So, the way we think about it the $25 million backlog would have had probably $2 million of follow on subscription revenue as that was sold through. Additionally, that integrated solutions backlog if it wasn't pulling subscription, probably would have had some maintenance to it.  So as I've said before, it does impact our ARR as we look as at those numbers. And so I think $1 million is what we saw on the maintenance side as well.
Jeremy Sandler: Understood, that makes sense. I guess so, it's good to see that constant currency subscription growth. And we appreciate the color on the currency breakdown. I guess I'm in constant currency basis, which deals are you seeing, I guess particular strengthen. Has that changed at all versus historically?
Ken Gayron : Yeah, I can answer that. It just it just changes based on which contracts or deals we're working on around the world, I would say that is past quarter, we -- first of all, we've had strength around all regions a pretty good strength. A lot of the business comes from the Americas, especially North America and Middle East, and Europe and Middle East. This quarter, we had really strong success in Europe, Middle East, but we also had really great success in America. So I think a little bit of both.  So I wouldn't really want to pick out one region, I think the teams are doing a really good job, even we're now seeing APAC starting to pick up pretty well. But APAC is probably the laggard on this. And but we are seeing really, really good performance and have been seen good performance both from especially in North America and and Europe, Middle East markets.
Jeremy Sandler: Got you. Thank you guys for taking my question.
Whit Rappole : Appreciate. Thanks, Jeremy. So now we have found Nehal back in the queue. Nehal Chokshi from Northland to be followed by Steve Frankel. So Nehal, please go ahead.
Nehal Chokshi : Thanks, Whit. And yeah, thanks, Ken, for that detailed bridge on both the maintenance, the subscription takedown, as well as the cash will take down. It's pretty clear. Also great to see the continued share buyback, that's a strong signal that you strongly believe in the fundamentals of the business.  A couple of nuances here. Maintenance revenue, on a year-over-year basis decelerate from a negative 9% in Q3, '22 to negative 11% in 3Q '22. Is that purely due to the unshipped backlog?
Ken Gayron : Yes, I would say that the unshipped backlog is having a headwind on maintenance, in terms of the attach rate that we've seen from those shipments? Additionally, I would say also, we're getting a little more success on continued success and enterprise subscription. So that's also impacting it. But in general, our subscription and maintenance numbers continue to track to the to the long term plan that we've had, but we probably would have been a little bit slightly ahead of it, if we had that unshipped backlog being delivered in the attachment with respect to maintenance.
Nehal Chokshi : Okay, I understand. And then your incremental subscription ARR in the quarter was $10 million versus $15 million a year ago quarter. I'm trying to understand why is there a tick down in the incremental ARR despite six quarter high and create a net subscriber adds, and the stronger and expected enterprise subscription as well. Can you talk about that there?
Ken Gayron : Yeah, I would say the ARR continues to be solid. I think your point on kind of the differences between quarter on quarter, as Jeff pointed out we did have some strong success in enterprise subscription. And the enterprise subscription has different revenue recognition characteristics, when those deals are entered. Additionally, foreign exchange had an impact this quarter when we look at the numbers by three percentage points on the total ARR side. So the foreign exchange headwind did it impact that number?
Jeff Rosica: Let me just look at the number roll number so quickly. Okay. So yeah, that would represent probably around $7 million in incremental ARR. 
Nehal Chokshi : Okay, correct. That makes sense. Thank you.
Whit Rappole : Thanks, Nehal. Our next questions come from Steve Frankel at Rosenblatt to be followed by Josh Nichols. Steve, please go ahead.
Steve Frankel: Good afternoon. So you had a very strong quarter in the consumer side of subscription as well. But I wonder underneath the surface, have you seen or do you anticipate that a recession is going to impact the churn and the side of the business?
Jeff Rosica: Hi, Steve, this is Jeff. Obviously, we're keeping an eye on on macroeconomic conditions and like everybody, we're trying to keep our eyes down the road. We haven't seen anything yet trend that way. Our actually our churn numbers have been very stable. And in fact, our teams are working very hard to continue to improve our churn and retention numbers. But I would say so far we haven't seen any weakness as Q3 showed us. We saw a lot of strength. It surprised us in a very pleasant way. So far, we're not seeing anything and there's no indications we're seeing.  Obviously, we've got the holidays in front of us, we'll see how that goes. But right now, there's no indications we're seeing, but we are keeping our eyes wide open and paying attention to the macroeconomic environment.
Steve Frankel: And you've typically had a large component of annual paid up front subs in that bucket. Is most of that in Q4, so that we have a big renewal period coming up, or is that early Q1, when do you see that?
Jeff Rosica: Well, yeah, I think we're seeing them all year long. And especially on the enterprise side, the teams are really trying to move customers as fast as they can. They're very motivated to get customers to move away, but from a pure subscription annual upfront, those happen across all quarters. As we've said Q4, because of holidays for the prosumer space, and Q1, a little more for the creative tools on the enterprise space, we'll see a little bit more than some quarters. But I think overall, we're seeing strength quarter to quarter.
Steve Frankel: Okay. And with your success in the enterprise conversions, where do you think you are in converting that base and maybe where do you think you'll and kind of where maybe we're going to be by year end?
Jeff Rosica: I don't think I would give an exact percentage, it's probably we're in the 25% to 30% range so far. I'd say we're in the -- we're in the second inning, third inning is kind of what it would probably the way to talk about it. We've obviously converted a lot of the large customers, we still have more of those large customers to go. But we're now working our way down where, we'll be working in a lot more of the midtier and some of the small to medium sized businesses over the next year or two.
Steve Frankel: Great. And any thoughts on cost structure expense levels, given the global economy and the pressures you're seeing on the top line from FX?
Jeff Rosica: Yeah, it's a good question. Obviously, we're being careful. We were careful, obviously, as we saw things, especially when we saw FX starting to unfold as we went through August and then got into September. That plus, just keeping our eyes on the macroeconomic situation, we have been very careful with cost so far.  We're spending far below what our original plan was, partially because of FX, partially because of the supply chain situation, we don't want our cost to get ahead of where we are from a revenue margin standpoint. So we're keeping our I say I'm keeping Ken's keeping his hands on the tail very carefully, to make sure we're managing those costs.  That said, we're going to keep prudently investing in the innovation and prudently investing in the transformation work that we're doing. But we are being careful. We're being very selective as we go. And obviously, ensuring that we continue to show earnings performance and cash flow is important for us.
Steve Frankel: Great, thank you. I'll jump back into the queue. 
Jeff Rosica: Thanks, Steve.
Whit Rappole : Thanks, Steve. Our next question is from Josh Nichols at B. Riley to be followed by Paul Chung. Josh, please go ahead.
Josh Nichols: Yeah, thanks. Strong enterprise and consumer subscription adoption, that continues to outpace despite what's historically been slower quarters. I guess I wanted to get a little bit better handle on the integrated solutions backlog. I know that it's taking a little bit longer to work through than you thought ending the quarter with $25 million. 4Q is typically a seasonally strong quarter for the hardware business, like based on the current guidance, like what are you kind of implying as far as where you're going to end the year in terms of a backlog and how much of that is going to lead into the first half of next year.
Ken Gayron : So maybe I'll take that one, Josh. So, the integrated solutions backlog is higher than Q2, it did grow $5 million. That said, we are seeing gradual improvement. And our team is doing a great job managing through that. We do have, I would say two areas that we're driving to improve conversion of that backlog to sales. And we are working hard at those areas to drive that revenue by kind of mid-2023. And it's going to take a few more quarters to drive that backlog to revenue.  But we do expect to have higher backlog at the end of the year than we initially thought a couple of months ago. But we are confident that by mid-2023, that backlog will start to be lower.
Josh Nichols: And just to clarify a little bit so do you think that the backlog is going to be down sequentially in the fourth quarter or could it be a flatter or --
Ken Gayron : I think in terms of giving you, I think we see gradual improvement, the issue is we're seeing healthy demand. So, we are seeing improvement, but at the same time, there's a lot of demand. So, I think our guidance incorporates kind of our view on that. But the positive is, it's improving. It's going to take a couple of quarters, resolve some of these certain support supply chain situations. And I think by mid-2023, the supply chain just went about doing much better for us.
Josh Nichols: And then, thanks. Last question. I mean, you clearly ramped up the company's buying power here, right with the new facility unfavorable credit terms as well, like, I guess if you could talk a little bit more about the capital allocation strategy, besides just stock buybacks, but potential M&A What you're seeing in the market are getting a lot of prospects today. Or I'm just curious what you're seeing on that front?
Ken Gayron : Yeah. I think we, you know, we had an opportunity, given the strength of the business. And our banks were interested in providing us more capital with no change in rates and favorable terms. We believe in the long term model, obviously, Jeff and I are very excited about the prospects of the business. And we continue to repurchase shares.  We were going to look at repurchasing shares versus tack on M&A to drive accelerate our plan. And, we have a great board to work together with in terms of partnering with us, and we're going to do what's best for the interests of shareholders in terms of driving the right returns for the business. 
Josh Nichols: Thanks. That's it for me.
Whit Rappole : Thanks, Josh. Our final questions are from Paul Chung at JPMorgan. Paul, please go ahead.
Paul Chung: Hi, thanks for taking my question. So just another follow up on the integrated solutions. Can you talk about the pricing dynamics there? I assume your competitors are kind of in the same boat there. So is there any pricing power dynamic adjustments you can make?  And then I guess the second question on the results and free cash flow seem that's mostly from the backlog there? Should we expect a kind of more outsized conversion in '23? And are there any other kind of inputs you see, to drive that conversion in free cash flow next year? Thank you.
Jeff Rosica: Hey, Paul, this is Jeff. So first, I'll take the first part of your question. I'll let Ken take the question on the free cash flow site. On integrated solutions and the supply chain situation. What we have seen is that a lot of the more common components, which we were struggling with earlier in this year ICs, and some of the more common PCB availability, that has gotten better, or we've redesigned around some of those shortages, and gotten ourselves to more common components that can help us bring the supply up.  There are still specialized components, some of our specialized components, certain FPGAs, certain power supplies, just certain designs that we have to work around a much more constrained environment where, we're getting a fraction of what we had hoped from a supply standpoint. We're aggressively working those areas, sometimes it's about waiting for the supply availability. But more times than not, it's we're being proactive and doing a redesign, because we're just not willing to risk it. And we'd rather have more choices in the spec, even in the specialized components we can get.  So the situation is getting better. But there are still some issues around especially the more lower volume, specialized FPGAs, and other specialty components for our products. So heading in the right direction, but definitely not recovering as fast as we had expected. But we are heading in the right direction. Some products have gotten back to production. Others, we're still struggling to get the redesigns finished and getting the supply available for us.
Ken Gayron : And on the cash flow point. Paul, our cash flow for our software business is extremely strong remains extremely strong. On the hardware side obviously, the increase in backlog of unshipped orders is a headwind because there's certain costs that still remain in the business. And also we're building inventory where we can, because of the healthy demand we're seeing. So we're kind of in a position where we're not shipping the revenue. We're building inventory in certain components. And we're waiting for those for those last components to come in to deliver that product revenue. So there will be an improvement, kind of on the integrated solution side of the business from a cash conversion standpoint, as we look at 2023.
Jeff Rosica: I should say, Paul, sorry, this is Jeff, I forgot to answer your question on the pricing side of it. So we -- as Ken mentioned earlier and I think one of the earlier questions we have and are using, I wouldn't just say our pricing power. I just think it's also that the market understands that costs are going up there is inflationary drivers on the supply side, including freight and component costs, etc. So we are using the opportunity obviously, to position our pricing. We have done a number of price increases already.  We've actually done a couple of rounds of price increases. Some of that will show up as we start to ship products, because some of the newer orders have come in at the higher prices. And so I think we'll see that continue to that. And of course, just the volume increase will help really drive better margin profile for the integrated solutions part of the business. But yes, we are we are looking carefully at pricing and had been taken a number of proactive actions over the next -- over the last several months. 
Paul Chung: Great, thank you.
Jeff Rosica: Thanks, Paul. 
Whit Rappole : All right. That concludes the Q&A session. I'll now turn it back to Jeff for closing remarks.
Jeff Rosica: All right, so thank you for your participation and your questions. In closing, I just want to reiterate that we believe we will continue to see healthy demand across the end markets for our solutions, including our growing subscription business. And we are managing through the headwinds caused by the global macro conditions to enable Avid to continue to achieve our company's strategy and our long term growth, profile and profitability targets as we move forward through 2022 and beyond.  I hope everyone has a wonderful evening. Thanks again.